Operator: Welcome to the Perion Network’s Fourth Quarter and Full Year 2020 Earnings Conference Call. Today’s conference is being recorded. The press release detailing the financial results is available on the company’s website at perion.com. Before we begin, I would like to read the following Safe Harbor statements. Today’s discussion includes forward-looking statements. These statements reflect the company’s current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading Risk Factors and elsewhere in the company’s Annual Report on Form 20-F that may cause actual results, performance or achievements to be materially different and any future results, performance or achievements anticipated or implied by these forward-looking statements. The company does not undertake to update any forward-looking statements to reflect future events or circumstances. As in prior quarters, the results reported today will be analyzed both on a GAAP and non-GAAP basis. While mentioning EBITDA, we will be referring to adjusted EBITDA. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our website and has also been filed on Form 6-K. Hosting the call today are Doron Gerstel, Perion’s Chief Executive Officer and Maoz Sigron, Perion’s Chief Financial Officer. I would now like to turn the call over to Doron Gerstel. Please go ahead.
Doron Gerstel: Thank you and good morning, everyone. 2020 was a great year for Perion in so many ways. We exceeded our revised guidance for both revenue and adjusted EBITDA. And despite COVID, 2020’s revenue was 25% higher than 2019. More than anything else Q4 2020 results demonstrate the huge momentum behind the company. We achieved record breaking quarter revenue of $118.3 million, representing a 51% increase from Q4 2019 and highest quarter adjusted EBITDA of $15.3 million in the last 6 years. From a capital position, we have bolstered and de-leveraged our balance sheet. We completed a successful and oversubscribed follow-on offering of $61 million 3 weeks ago, positioning Perion to continue to capitalize on the growth opportunities in front of us. Strong numbers, executional success and a powerful balance sheet, that’s the trifecta headline here and we accomplished all of this in the face of the global pandemic market by unparalleled volatility, disruption and change across the evolving digital media industry and ad-tech ecosystem. Let me further point out our strong growth numbers are in the face of a sudden decline of travel and hospitality industry, which accounted for 15% or more than $10 million of our 2019 revenue. What I have just shared is a testimony to the last and probably the most critical reason for our fourth quarter results and annual performance, our incredible team across all our business units. When the pandemic hit in the second quarter, they quickly adjusted to the new reality, working with collaboration and excellent agility. All of them work from home and all of them work from their heart. You have my thanks and the thanks of all our shareholders. I attribute our success in 2020 to three critical trends that will be Perion’s growth catalyst in 2021 and beyond. Trend number one is the struggle for attention. Brands increasingly recognize they need our high impact ad units to increase their brand equity with creativity and through the command attention across screens. Our ads are unignorable, which is why, when delivered by our AI engine, they attract Fortune 500 enterprises like Mercedes, constantly deliver higher return on ad spend and engagement metrics, the conventional standard formats. In fact, our ability to bring our clients this attention-grabbing advertising in interactive CTV is unequaled. Our intelligent high-impact ads and the technology behind it, has enabled us to decommodify digital advertising with noticeable results. Trend number two is the struggle of publisher to generate revenue. In 2020, publishers continue to face growing monetization challenges. And this will continue our rapidly growing content monetization engine, growth brands and publisher a unique ability to engage users for minutes versus the second of commodified programmatic display standard advertising. This platform is working so well for our own and operated site, which brought first-tier publishers such as Newsweek, Entrepreneur magazines and the Bonnier group of clients and it’s just the beginning as the new growing number of publishers we can support via our content monetization platform allow us to establish our own strategically controlled world garden. This is an efficient way and scalable way to generate first-party data and drive revenue in a cookie-less world. Trend number three, everyone is searching. The year of COVID-19 accelerated the growing trend of shopping online. It’s obvious, but there is a repetition. The number of consumers who researched before buying significantly increased the number of searches. Perion average daily searches reached 15.7 million during the fourth quarter and it is an increase of 32% year-over-year, an all-time record. These type-in keywords are what online retailers are most interested in, because they are consumer who express the highest possible intent to buy. These signals are more valuable than what is obtainable from any other media channel. This growing number of searches compensated for the short-term decline in RPM, aligned our search advertising business to provide steady income with healthy margins. The further good news behind the Microsoft Bing renewal announcement is that extension for additional 4 years wasn’t just a continuation. We added geographies a new collaborative features at even more favorable terms. The renewal is a result of the strong and healthy partnership we have cultivated with Microsoft advertising over the last 10 years. The continuing collaboration between our companies will enable to further grow its network of publishers, offering lucrative search technology solutions and sophisticated experience for monetizing their digital property. We estimate that the revenue contribution in the next 4 years under the new agreement with Bing will be $800 million. The macro context behind these trends is a massive shift in behavior as consumers are spending an increasing amount of time online, including but not limited to shopping. They are turning to digital sources for sports and entertainment and news consumption as well as a new platform like CTV. This was before the pandemic, but it has dramatically accelerated the consumers are social distancing and spending more time at home. Advertisers are responding to this monitoring consumer behavior and adjusting their digital advertising budget allocation based on shifts in which platforms are winning the ward for attention. As an example, just recently, Pinterest reported 76% growth in revenue after a long period where it disappoints analysts. Perion is perfectly poised to capitalize on any ad budget shift between the three main pillars of digital advertising: search, social, display and video. Our diversification strategy let us pivot where the growth is, whether it’s Pinterest or Facebook or being ad search, CTV or whatever is next. Stepping back for just a moment, it’s now been over 3 years since my first earnings call as Perion’s CEO. I have been consistent about our three phased transformation strategy to establish Perion as the unique player in the digital media ecosystem. I quickly review that plan not so much to get ourselves on the back, but because our ability to carefully stick to what we said should give you confidence in our ability to realize the aggressive goals we have set for the future. In our first phase, we had strengthened our balance sheet and put in place a sustainable capital structure. We have done that. We have increased our net cash position from minus $41 million when I joined April 2017 to plus $52 million at the end of the fourth quarter 2020. Growth in net cash is a result of our endless efforts during the last 3 years to leverage our expenses while growing our top line. In the fourth quarter of 2020, we decreased SG&A expenses from 18% from revenue in the last year to 13% in 2020. On top of that, last month, we completed a follow-on offering, which was both upsized and oversubscribed, generating net proceeds of more than $61 million. This further solidifies our balance sheet and provides optionality to capitalize on the growth opportunities in front of us. We have demonstrated throughout the acquisition of both Content IQ and Pub Ocean, our ability to develop a unique acquisition model, a good model that assures long-term engagement with the leadership team of the acquired company, and most importantly, an accretive transaction, which its majority tail is based on earn-out when meeting business goals, with only 20% to 30% paying upfront. At the second phase, we have increased our investment in research and development from $23 million in 2019 to $31 million in 2020, ability to personalize our ad units on the flight, adding an interactive layer to CTV advertising, developing our own content management system or building AI mediation platform for our publishers, are some of the examples how we are widening our technology mode. We are now dipping in the third phase of our strategy, financial excellence. We have made a foundation for a sustainable and profitable revenue growth in 2021 and beyond. We are beyond – highly confident in our ability to deliver. With that, I would like to turn the call over to Maoz to review the financial results for the fourth quarter and full year. Maoz?
Maoz Sigron: Thank you, Doron. Perion’s strong financial performance during 2020 in unprecedented and volatile year for the digital advertising industry is a testament to our disciplined financial management before viewing and after the onset of the pandemic. We expect it to build upon these strong results and the systems we developed to drive predictable and profitable growth in 2021 and beyond. The successful follow-on offering we completed during January 2021 significantly strengthened our balance sheet and supports funding of potential growth opportunities in the future. Turning to the results, during the fourth quarter of 2020, revenues for Perion totaled $118.3 million, an increase of 51% from $78.3 million in the fourth quarter of last year. These revenues are composed of $68.4 million from display and social advertising, representing 58% of 2020 fourth quarter revenues with search advertising and other revenues, contributing $49.9 million and represent 42%. This increase was primarily attributable to a 159% increase in display and social advertising revenues, primarily resulting from the acceleration of our Connected TV advertising offering and the contribution of our content monetization offering. Search advertising and other revenues decreased by 4% as a result of lower RPMs partially offset by a higher number of daily sales queries we deliver to Microsoft Bing and others. During the fourth quarter, the number of sales kept improving and achieved the highest level of the average sales per day. The renewed contract with Microsoft Bing for additional 4 years will continue to help us to increase the activity with existing and new publishers. Our customer acquisition cost and media buy in the fourth quarter of 2020 were $74.8 million or 63% of revenues compared to $41.1 million or 53% of revenues in the fourth quarter of 2019. The increase as a percentage of revenue is primarily due to the acquisition of Content IQ and Pub Ocean with sharing higher customer acquisition costs, overall product mix change as well as the lower RPMs in search advertising. While total revenues increased significantly during the fourth quarter of 2020 compared to the fourth quarter of 2019, GAAP SG&A totaled $15.8 million or 13% of revenues compared to $14.1 million or 18% of revenues during the fourth quarter of 2019. Perion’s net income for the fourth quarter of 2020 was $9 million or $0.30 per diluted share compared to $5.9 million or $0.22 per diluted share in the fourth quarter of 2019. Non-GAAP net income in the fourth quarter of 2020 was $13.8 million or $0.45 per diluted share compared to $8.9 million or $0.32 per diluted share in the fourth quarter of 2019. Adjusted EBITDA increased to $15.3 million in the fourth quarter of 2020 from $12.2 million in the fourth quarter of 2019. Net cash provided by operating activities in the fourth quarter was $12.8 million, compared to $11.2 million last year. As of December 31, 2020, we had cash, cash equivalents and short-term bank deposit of $60.4 million compared to $61.6 million as of December 31, 2019. As of December 31, 2020, total debt was $8.3 million, down from $22.9 million as of September 30, 2020 and $16.7 million as of December 31, 2019. During the fourth quarter of 2020, the company returned $12.5 million drawn during the third quarter of 2020, out of its secured credit line and made scheduled pay-down of $2.1 million of its credit facilities balance. Turning to our 2020 full year results, total revenue for 2020 was $328.1 million compared to $261.5 million in 2019, representing an increase of 25%. Search advertising and other revenues represented 55% of revenues for the full year 2020, with display and social advertising contributing 45% compared to the full year of 2019 when searching advertising and other revenues contributed 66% and display and social advertising contributed 34%. This increase was driven by 69% growth in display and social advertising primarily resulting from the acceleration of our Connected TV advertising offering and the contribution of the content monetization offering, which we acquired in 2020 offset by the overall COVID-19 impact on ad spends across the industry during the second quarter of 2020. This impressive growth was achieved despite a $10 million reduction in travel ad spend with us due to the COVID pandemic compared to 2019. Search advertising and other revenues increased by 3% due to higher number of daily search partially offset by lower RPMs impacted by COVID-19. Customer acquisition cost and media buy for 2020 were $197.6 million or 60% of revenue compared to $135.9 million or 52% of revenue in 2019. The increase as a percentage of revenue is primarily due to the acquisition of Content IQ and Pub Ocean with sharing higher customer acquisition cost, overall product mix change as well as lower RPMs in search advertising. On a GAAP basis, Perion’s full year net income was $10.2 million or $0.36 per diluted share compared to $12.9 million or $0.49 per diluted share in 2019. Non-GAAP net income for the full year 2020 was $26.6 million or $0.91 per diluted share compared to $21.6 million or $0.83 per diluted share in 2019. During 2020, adjusted EBITDA was $32.8 million or 10% of revenues compared to $32.4 million or 12% of revenues in 2019. Net cash by operating activities for the full year 2020 was $22 million compared to $44.7 million in 2019. The primary reason for the decrease compared to the prior year is mainly due to a one-time improvement in working capital during 2019 and approximately $10 million working capital need in 2020 in connection with the acquisition of CIQ and Pub Ocean. This now concludes my financial overview for the fourth quarter and the full year 2020. I will now turn the call back to Doron for closing statements.
Doron Gerstel: Thank you, Maoz. Despite the global pandemic and all the associated and unexpected challenges, 2020 was a monumental year for Perion. We successfully integrated two accretive acquisitions and achieved greater than expected synergies. We experienced strong demand in the fast growing CTV and video market for our interactive CTV ad units. We extended our technological mode and further diversified our offering. We locked in and extended our strategic partnership with Microsoft Bing for additional 4 years. We entered 2021 on an exceptionally strong footing that was further fortified by the closing of the upsized and oversubscribed offering that’s generating more than $61 million in gross proceeds. Looking forward, we remain laser focused on achieving sustainable and highly profitable double-digit annual revenue growth, targeting about $500 million in annual sales by 2023. Our technology mode, established and advanced by R&D center of excellence, enable all our business units to first capture the attention, imagination and the interest of user and then convince them with a proprietary combination, ad units, content and layouts that are optimized in real time. We are taking an important step by launching our new Capture and Convince brand narrative for Perion. For the first time, we are now establishing powerful connective tissue that makes all our business units operating under the same narrative. The market fit and the marketing power of Capture and Convince bring us the perfect recipe of consistency and agility. It is the combination as delivered by our current business units and potential synergistic acquisitions that gives me the confidence to hold out the $0.5 billion as our revenue north star. For 2021, we are targeting revenue in $350 million to $370 million range and working to achieve adjusted EBITDA in the range of $35 million to $37 million. Lastly, I would like to again thank the amazing Perion team to our resiliency and agility during the unprecedented year. I couldn’t be prouder of our collective accomplishments and more appreciative of our collective efforts. With that said, operator, will you please open the call for questions. Operator?
Operator: Thank you. [Operator instructions] We will now take our first question from Jason Helfstein from Oppenheimer. Please go ahead. Your line is open.
Jason Helfstein: Hey, thanks everybody. So, three questions. Doron, first you talked about kind of the success of content, I assume promotion integration. Maybe just elaborate a bit more, talk about – are you already cross-selling that, just what are the synergistic benefits you are seeing in any metrics you can share for client – Perion client penetration and client cross-selling, etcetera? Question number two, maybe if you can help us understand organic advertising growth in the fourth quarter, so kind of adjusting for Content IQ and Pub Ocean, what was the organic advertising in the fourth quarter and how are you thinking about kind of organic advertising growth for 2021? And then the last question, you are targeting $500 million in 2023 revenue with $420 million organic I think it was the last presentation employing $80 million for future acquisitions. Maybe just talk about M&A plans for this year, maybe help us understand timing? Is it something that would be kind of more first half, second half? And then also we have clearly seen an increase in APAC valuation. So, how is that kind of playing into your thinking and kind of would that impact your ability to close acquisitions this year? Thanks.
Doron Gerstel: Very good. Okay, one by one. So first and foremost, I think that the Content IQ and the Pub Ocean contribution is not just on what they are able to generate, but also the synergy. And I would like to focus on the synergy capability. So, Pub Ocean has its own and operated site. And as I basically stated, they are extending and externalized their content optimization platform to other first tier publisher. I mentioned Newsweek I mentioned Entrepreneur and Bonnier are just the first one. But collectively, when you are looking about these first tier sites as well as the own and operated site, this created a great large supply that is definitely can be a great opportunity for other business units that just generate demand. At this point, this demand was very much targeted network outside that we have to pay, for instance, take Undertone. Undertone is working with brands and agencies to deliver their campaigns. We are getting an insertion order and where we can work with Undertone and Pub Network. Now, when we have such a great internal publisher network that we control, the tech that we are paying outside will go in-house and that will be a huge synergy saving. So, this is, for instance, one example. That apply of course to the demand that can be generated from our partnership with Microsoft Bing. And in a way, we are trying very much to develop here as we said our own world garden, where at the same time, we are increasing our demand capability, we are increasing our supply capability and that gives us a great opportunity to definitely reduce our tech and this will increase our margin. And as far as our plans for M&A and – I can tell you that we are looking at few areas that has to do with what we believe are the main key growth factors behind our success in 2020. In the creativity side, we are looking for ability to enhance our DCO, dynamic creative optimization. In other words, in what extent we are able to personalize the ad units based on the data that we are getting, this was and will remain one of the major factor for advertisers and we are currently working with our own platform, smart flow, but we believe that there are great opportunities out there for that as well. Another area, which is interest a lot, it has to do with blockchain, blockchain in a way in our world of advertising. It’s more on the search monetization world and we believe that while the number of searches is growing exponentially, our partner is looking to increase the safety and the safety of the searchers and safety of the keywords and all of that and we believe that blockchain can be a very interesting way. So, those are the two examples of what we are looking. And as far as the last question that has to do with our goal for the next 3 years. So, the north star is to get to $500 million. What we basically said during the follow-on meetings that we have, that we are looking about the minimum CAGR of 10% in the next 3 years, which gets us into the $430 million. I underline the word minimum, but no matter if it’s $430 million or above as we are shipping for, we believe that in the next 3 years we are going to do an acquisition. And that’s why we did the follow-on transaction and this is why we are going to have at the end of Q1 something close to $140 million in cash. And we set a very rigid framework of acquisition, as I mentioned in the call, which is majority of the procedures to earn-out and only 20% to 30% is upfront cash. And we are planning to continue with it, because it was definitely something we believe brings value not just to us, but also to the companies that we acquired and allow us to retain talent of the acquired company for a long period of time.
Jason Helfstein: And just – I don’t know, Maoz, do you want to just comment on organic growth in the fourth quarter for advertising?
Maoz Sigron: So yes, we can say that this is not something that we have on the public. What we can say is that if we are looking on pro forma basis, it will be above 20% growth.
Jason Helfstein: Thank you.
Operator: We will now move to our next question from Eric Martinuzzi from Lake Street. Please go ahead. Your line is open.
Eric Martinuzzi: Congratulations on a real strong year. Just amazing how it finished out when we think back to the dark days of April. So, kudos to you, Doron for pulling it together.
Doron Gerstel: Thank you.
Eric Martinuzzi: I have a question regarding the Connected TV business. First of all, I want to understand the difference between CTV and iCTV. But then, second of all, I want to ask about kind of percentage of the revenue. It looks like in Q4 we had around $6.5 million CTV of the $118 million, so a relatively small part of your overall revenue but where do you think that can go percentage-wise, either in 2021 or beyond?
Doron Gerstel: Right. So the main difference between CTV and the iCTV, the interactive, is definitely – first and foremost, from the advertiser standpoint, is the ability to gauge the interaction level between the viewer and the screen. So as you already can understand when the video is running, who knows what is there – it’s like any other ad units that you see on a conventional or linear TV who knows where is your attention? Is it to your mobile or to anything that is around you other than the TV – other than the video itself. The interaction part of it is – ensured that you – we can grab your attention, we capture your attention, capture attention that you need to react with an action. And the action is that you need to click on your remote and basically run a video out of few options that we are promoting while the main video is running. You need to choose between fewer options. Once you choose – the video you choose starts running. But the most important part is the interaction. If you are not interested on learning more, you will not click on your remote. For advertiser, this factor of clicking the remote demonstrates engagement. And everything here is all about engagement that they know to very much appreciate the return on their ad spend. So that’s the layer of interaction above that the conventional video that you basically see in CTV. Of course, not everyone is really clicking on those small boxes with video. But those are the clips, they know that 100% are engaged with the new – with the ad or with the video, and that we need to pay way more for it. And we need to pay more in terms of CPM because they can ensure that the engagement level is very high. Now in terms of the percentage of CTV for the entire, this is also something that we are going to keep reporting this. The number is growing. I can tell you that we are definitely in par with what is all CTV from the entire display. And $6.5 million out of the overall advertising is – percentage-wise is 10%. And if you’re looking about the entire display and video, which is close to $200 billion, I don’t think that CTV reached $20 billion. It’s way, way less. So we are happy with the 10% when we’re looking it about the overall display and video spend but definitely this is going to get us more and more because we’re now working on iCTV 2.0. And the iCTV 2.0 is not just adding those boxes with additional information that you need to click. Once you will click on them, it will be personalized dynamically. And so in other words, the video of the – the creative will change based on the data, based on gender, based on location and so on and so forth in order to very much increase your retention and ability to engage with this video.
Eric Martinuzzi: Understand. And then a follow-up, any signs of light in the travel, hospitality, and entertainment verticals?
Doron Gerstel: No. At this point, the – definitely the market is very much on hold. We are all looking forward to what’s going to happen during the summer. But I must say that our forecast and guidance for 2021 is not taking it any consideration at all of the recovery of this segment.
Eric Martinuzzi: Understand. Thanks for taking my question.
Doron Gerstel: Thank you.
Operator: And we will now move to our next question from Laura Martin from Needham. Please go ahead. Your line is open.
Laura Martin: Hi, there. Thanks for taking the questions. Great numbers, guys. Congratulations.
Doron Gerstel: Thank you, Laura. Thank you.
Laura Martin: So, I want to ask a question about guidance. So you reported this really accelerating revenue growth of 50% in the fourth quarter and 25% revenue growth for the full year. So what is decelerating so massively in 2021 that this guidance gets down to 10% for the full year? And building on that question, when an investor call and every other competitor that you have in this space is projected 30% or were projecting 30% revenues, what would you say to them that they should buy this stock, which is going to grow 10% at the top line, whereas most of the competitors are going to grow 30%? How would you answer that?
Doron Gerstel: So that’s a very good question, and thanks for that. So first and foremost, this is the third year that we are providing guidance, and company management is quite conservative with their estimate. So, keep in mind that this is the first quarter, and keep in mind that there are some still unknowns. We are – all our eyes are very much where we want to be three years from now. So first and foremost, I think that we are one of the fewer, I have been listening to all of our competitors. One of our fears that basically can even think about providing estimates where they want to be 3 years from now and this is one. The second thing, I think that we are in a very unique situation from our offering. While most of our arrivals are very much offering a point solution, we proved in the past and I think that this is very important to say now that we are offering a diversification strategy. Diversification strategy that allows us very much to very much deliver based on – or capitalize on any changes that are happening among those three main pillars. And with that, I basically said that we are preparing very much for growth and that’s the $500 million that we’re representing a 17% CAGR. And so as I said, we would very much like to start the year with a conservative number.
Laura Martin: Okay. And then my second question is on cookies. I am interested in how you think this cookies drama plays out over the next 5 years. What do you think happened with cookies in the marketplace?
Doron Gerstel: Yes. So first, we need to ask ourselves how much out of – how much the companies are very much dependent on cookies from a retargeting standpoint. This is definitely a critical question, how much of the businesses are depending on a third-party cookies? Our way of overcoming the cookie was very much on the – on developing our own or controlled supply network, which turned to be our first-party cookie instead of very much rely on the outside of the third-party cookie. And this is – in a way, it was a sudden move because usually an ad network rely on other publishers, but we believe that, that will give us a tremendous advantage. As we are growing our supply, not just internally, but also the fact that we will find such agreement with the first-tier publisher, and the idea is to continue with it. It gives us – has become our own wall garden and less even depend on the third-party cookies. At the same time, the other part of the business, if it has to do with search advertising or social advertising are not part of this gain because they’re not effective for the cookie. And so that’s something that needs to take into consideration and because again, if we were only on display and not having our own supply network I think that that was – definitely get the concern to a way higher level.
Laura Martin: Okay. So just staying on the market part, so do you think third-party cookies goes away, I mean not your company but just general ecosystem? Do you think third-party could actually go away and get replaced by a large activation? Do you think they actually don’t go away because regulators are going to force people to keep them out there, shifting the marketplace outside of your dependence on cookies as well?
Doron Gerstel: From outside of Perion, I think that we definitely see this trend. It’s started with all the regulation that is happening in Europe and then follow it with what’s happening with the CCPA in the West Coast and then others in other location. Look what’s Apple just announced last week. I think it’s part of an overall trend, which has to do with privacy, overall trend. And I don’t think that the issue of cookie-less will be behind. Definitely IAB and others that are very much care about consumer privacy needs to match. And if it’s – it’s not even a question of if. In my opinion, it’s just a question of when.
Laura Martin: That’s super helpful. And my recommendation is you just go off of CTV and then you cannot have cookies at all. That solves a lot of them. Anyway, thank you.
Doron Gerstel: Yes. Thank you. Thank you.
Operator: And we will now move to our next question from Jeff Martin from ROTH Capital Partners. Please go ahead. Your line is open.
Jeff Martin: Thanks. Good day, everyone.
Doron Gerstel: Thank you.
Jeff Martin: I wanted to focus on the – you have increased your R&D spend significantly over the years. Wanted to get a sense of what your focus is from an R&D standpoint in 2021 and then also draws out to 2023? What does that roadmap look like?
Doron Gerstel: Yes. Thank you. So first of all, I never mentioned it. But in my background, I’m coming from an enterprise software business. So we – and one of the main reasons for me joining Perion was the fact that I do believe that technology makes the difference. There is a reason we call it moat and there is a reason we increase our spend to widen and make it deeper believe this is definitely something which gets us high, high return on investing on technology. And that’s why we are increasing it year-over-year. Keep in mind that what we are investing now is first and foremost, and I’m taking here our content monetization systems. We reached a point that we understand through the acquisition of Content IQ that the current content management system that they have, which was also based on an open source, our content management system is not enough for scale. And we have to develop our own content monetization system in order to take content optimization into a different level. A different level when it comes to optimization and keep the visitor in more than – between 6 to 8 minutes in our side. And not just that, you – we build it, and the idea was how we’re able to externalize it to our partners. And that was a huge investment on our side. So that’s one example. The other example was very much the investment that we did on, I think was, 2 years ago, acquiring an AI center in Ukraine that we are further invest more and more on it. And that served very much all BUs on AI modeling that now become – on anything these – everything that we are doing has definitely an AI service or AI model that is very much generating there. And as I mentioned before, personalization and using the huge amount of data that we have that is coming from all different touch-points. From the social to the search, to here – and of course, to the display, it all comes to a large data lake that allows us to serve any part of our business and with the right data, the right signal, which is so essential in our business. This is a huge investment, and I’m very happy that we are really much able to grow our business based on this investment.
Jeff Martin: Okay, great. And then curious with RPM down in Q4, offset by a significant increase in searches, are you seeing that trend continue so far in Q1? And what’s embedded in your guidance for the balance of the year in terms of those two metrics?
Doron Gerstel: So first of all, as far as January to – not even to our surprise, but we – COVID hits us – started in March last year and April and May was the worst. So it’s a good comparison to see January 2019 – 2020 to January 2021. And I definitely can tell you the trends continue in terms of number of searches, which is great. It’s compensated on the decrease on RPM and allow us to very much deliver sustained revenue from search advertising. And our assumption really that this trend will continue even if we were able to very much overcome COVID. I think that most of the – our consumer very much enjoy about both the online – shopping online or doing things online, and so this is – this trend is definitely to continue. The other thing that we think is going to improve the RPM is the huge amount of online retailers. We’re able to see a new type of online retailers that’s not just – and they don’t have this brick-and-mortar store, but in most cases, they don’t have even an inventory and their spend is only on ad search, looking for consumer with a very high intent. And that’s a very, very, very interesting, compelling moment for them. So overall, we definitely see this trend will stay even if COVID will not be with us somewhere in later 2021.
Jeff Martin: Thanks. And then final question, looking at your presentation that’s up on your Investor Relations site here, it looks like CTV had an average deal size up 50% from the third quarter and customers grew in the 45% range. Wondering, if you could comment on that? And are you seeing increased interest continuing so far this year in CTV?
Doron Gerstel: Yes, definitely. So we grow two things into – between the third quarter when we just launched it and the fourth quarter of 2020. Both in absolute numbers of revenue, the number of customers, but more importantly on the average deal size. The average deal size grow significantly, which is just – for us is one of the major KPI because customers see and evaluate the return on ad spend on CTV, especially with the factor of interactive CTV and global spend. And this trend is continuing, and we are – definitely big – what started as an experiment in the third quarter, they increased the spend on the fourth quarter, and they further increased it so far in the first few weeks of the year. And we believe they will continue and we do so when we are going to launch, as we said, the iCTV 2.0, which has a personalization level on top of what we’re doing right now with iCTV. There is a nice slide since you referred to our prior presentation, that definitely demonstrates how DCO, dynamic creative optimization, played so well in the CTV space.
Jeff Martin: Thank you for that and congratulations on a strong year.
Doron Gerstel: Thank you.
Operator: We will now take our final question from Chris McGinnis from Sidoti & Company. Please go ahead. Your line is open.
Chris McGinnis: Good morning. Thanks for taking my questions. Nice quarter. I was just wondering, Doron, if you could just maybe expand a little bit on the Microsoft relationship you felt and some more collaborations coming through, and can you just highlight some more coming – how that’s changed from the last content everyone just found at the end of the event. Thanks.
Doron Gerstel: Yes, thanks for the question. So I was honored to do the – not the last one, but also the previous one. So we did the previous one in October 2017 for 3 years. And we did this one – announced it in November 2, 2020, and it’s quite a difference, quite a difference not just in duration. The last one was for 3 years. This is a 4-year. For those who know Microsoft doing a 4 years’ agreement is we are part of a very few vendors that being able to really engage for such a long period of time. And that’s why they require for us not just to renew or extend the agreement in terms of amendment, but definitely writing the new agreement from scratch. But it’s not just about 4 years or more years in terms of contract. I think the main important factor that has to do with better rev share, that’s one. So we have higher tiers that represent where we are right now. So we are going to get more margin from Microsoft, one. Second, expanded to new geography, in the previous agreement, we were limited to 6 countries, now currently to 34 countries, which is part of Microsoft advertising overall geography expansion strategy. And the third is that we are now able to offer our market new products, new products that we were not able to do on the previous agreement. And so all-in-all, this is why we basically share that our estimate that in the course of the next 4 years, we were able to generate $800 million from this agreement, and $200 million in average on annual revenue. Currently, we’re in the level of about $172 million. So that’s definitely a significant increase. And what I am more happy with is the fact that it’s a sustainable, predictable stream of revenue that has to do with this pillar, search advertising. That’s based on any KPI that we are looking and I shared one of them, which is the average daily traffic. It’s definitely moving in just the right direction and it is generating for us a substantial revenue.
Chris McGinnis: Thanks for taking my questions and good luck in Q1.
Doron Gerstel: Thank you.
Operator: That concludes today’s question-and-answer session. So I’d like to hand back to Doron Gerstel for any closing remarks.
Doron Gerstel: Yes. Thank you very much for your participation and stay well. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for your participation. You may now disconnect.